Operator: Good morning, ladies and gentlemen, and welcome to Orla Mining's Conference Call for the First Quarter 2025 Results. My name is Regina, and I will be your conference operator today. All lines have been placed on mute, to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Please be advised that this call is being recorded. I would like to turn the meeting over to Andrew Bradbury, Vice President, Investor Relations and Corporate Development. Please go ahead, Mr. Bradbury.
Andrew Bradbury: Thank you, operator, and welcome to Orla's first quarter 2025 results conference call. We will be making forward-looking statements during today's call, and I would direct you to the second and third slides of the presentation, which contains important cautionary notes regarding these forward-looking statements. All dollar amounts discussed today will refer to U.S. dollars unless otherwise indicated. The Orla executive team is on the call this morning. And I'll now pass the call to Jason Simpson, President and CEO.
Jason Simpson: Thanks, Andrew. During the first quarter, Camino Rojo continued to perform with low cost, and the continued gold price momentum drove strong cash flow. We recorded our first month of production, from our newly acquired Musselwhite Mine, which drove a record quarter of gold production for Orla. We continue to advance our exploration, and development projects in Mexico and Nevada, and now have begun our exploration program in Canada. With the integration of Musselwhite underway, we are aggressively investing in exploration and investing capital into the operation, to improve mining rates and extend mine life. As we communicated about Musselwhite, we see great geologic potential, which could add to mine life, and the annual gold production from this asset. As such, we are updating our 2025 guidance today, inclusive of the new investment at Musselwhite. We are pleased to provide updated production guidance for 2025, of 280,000 to 300,000 ounces of gold at consolidated cash costs of $850 to $1,050 per ounce, and all-in sustaining costs of 1,300 to $1,500 per ounce of gold sold. This includes 170,000 to 180,000 ounces of gold, expected from Musselwhite from March to December. Cost guidance at Musselwhite, is provided for April to December, with expected cash costs of $1,000 to $1,200 per ounce, all-in sustaining cost of 1,550 to 1,750 per ounce of gold sold. Production guidance at Camino Rojo, is unchanged at 110,000 to 120,000 ounces of gold. At an asset level, cash costs are expected to be between $625 to $725, and all-in sustaining costs, is expected to be between $700 and $800 per ounce. This cost guidance is in line with initial guidance, but reflected net of the corporate overhead. We've also updated our exploration capital and development guidance, for the year to include our investment in in future production growth at Musselwhite. The consolidated total investment across our business in 2025, is approximately $175 million including exploration, capital project costs, with $115 million of this total related to Musselwhite. This investment represents an - improvement from the mine it out scenario, outlined in the reserve only technical report. We believe this is what the operation requires, to take it to the next level, in terms of productivity and mine life extension. Most of the investment relates to underground lateral development, to improve ore availability and efficiency for future years, as well as access for underground exploration drilling. The balance of the investment, is to be spent on exploration, and improving the underground mobile equipment. Total exploration spending planned for 2025 inclusive of Musselwhite, is approximately $55 million, a testament to our commitment to growth, through discovery and resource addition. Andrew Cormier, our Chief Operating Officer, will now discuss our operating performance.
Andrew Cormier: Thank you, Jason. Our operating team in Mexico, delivered another strong quarter, while remaining committed to the health and safety of our employees. During the quarter, Camino Rojo mined nearly 1.9 million tonnes of ore at a strip ratio of 1.48. The strip ratio, is a result of a mine pit redesign in 2024, to ensure consistent access to ore, to maintain balanced production. The average gold grade stacked, during the first quarter was 0.78 grams per tonne, in line with our plan. We also achieved an average stacking rate of 18,600 tonnes of ore per day. We produced nearly 30,000 ounces of gold in a quarter, which is on track, to achieve our annual production guidance of 110,000 to 120,000 ounces. Production is expected to be higher in the first half of the year, and lower in the second half, as we begin to stack more transition material with lower recoveries. Permitting of our expansion in Mexico continues, and we have maintained regular engagement, with federal and state level stakeholders regarding our application. In Canada, we recorded our first month of production for Musselwhite, following closing of the transaction on February 28. In March, Musselwhite mined 108,000 tonnes of ore, and milled 104,000 tonnes at a mill head grade of 5.55 grams per tonne gold. Gold recovery rates of 95.7%, resulted in gold production of nearly 18,000 ounces of gold. Mill throughput in March, was 3,360 tonnes per day, a 10% improvement from the average mill throughput in February. Our investment in the Musselwhite Mine has already begun, with new underground mobile equipment purchased, and already arriving on site. The equipment purchased and fleet rebuilding plan, will continue throughout the year. As Jason mentioned, our 10-month production guidance for Musselwhite in 2025, is 170,000 to 180,000 ounces of gold at $1,000 to $1,200 cash cost and 1,550 to $1,750 per ounce gold, all-in sustaining costs. Musselwhite's production guidance, is for March to December, while cost guidance is for April onwards. Onto our project pipeline, and upcoming milestones, we have had constructive meetings with the Department of Interior, and the Acting Director of the BLM, on the progress of our South Railroad Project permitting. We continue to target, the notice of intent being published mid-2025, with a record of decision by mid-2026, which would position us to begin earth movement next year. We are encouraged by the momentum, being seen in advancing American mineral production, by the current U.S. administration. This was most recently displayed, by the Executive Order supporting development of critical minerals, which has been expanded to include gold. We have also purchased a portion of the water rights, required for the operation. Our project team, continues to work with M3 on the engineering for the project, potentially leading to procurement in the second half of 2025, to be prepared for on-site construction starting after the record of decision. Sylvain will discuss the Camino Rojo Sulfides later in the call, and we are progressing towards an upcoming milestone. Etienne Morin, our Chief Financial Officer, will now discuss financial results for the quarter.
Etienne Morin: Thanks, Andrew. It's worth addressing from the top that, because of the mid quarter closing of the Musselwhite acquisition in February, we acknowledged that this is a transitional, and complex reporting period, and that is reflected in our financial results. During the quarter, we sold 46,000 ounces of gold at realized price of $2,915 per ounce, resulting in approximately $141 million in revenue for the quarter. This include one month of Musselwhite gold sales. Cash cost and all-in sustaining costs, for the first quarter totaled $597 and $845 per ounce, of gold sold respectively. And it's important to note that cash costs, and all-in sustaining costs for the quarter, do not include the impact of Musselwhite, as the closing of the transaction during the quarter, resulted in one-time non-cash accounting treatments impacting cost of sales. So as a result, we felt that the calculation in cash costs, and all-in sustaining costs at Musselwhite, would not be representative of the performance of the mine, for that period. But starting in the second quarter, Musselwhite cost will be included in the computation of both cash costs, and all-in sustaining costs. We recorded a net loss for the quarter of $70 million, or $0.22 per share, mainly driven by the impact of financial instruments, issued in connection with the acquisition of Musselwhite. So after adjusting for the impact of these financial instruments, and a few other small items, our adjusted net earnings were $38.6 million, or $0.12 per share. Cash flow from operating activities, before changes in non-cash working capital, was $401 million, or $1.24 per share for the quarter. This was impacted by the proceeds received from the gold prepay, and I'll expand on that on the next slide. Our total capital expenditures for the quarter, including capitalized exploration, were $17.7 million, of which $9.2 million was non-sustaining, and related to capitalized exploration in Mexico, and also related to the purchase of water rights in Nevada. And also $8.5 million was sustaining, which the majority was relating to the mine development, and equipment purchases at Musselwhite. On the next slide, we're showing the reconciliation of net income to adjusted earnings. The point here, is to highlight some of the significant items, specifically related to the Musselwhite acquisition, which impacted our net earnings this quarter. Items such as transaction costs, and the fair value adjustment of the metal inventory, or one-time items, but there are certain financial instruments that will be fluctuating each quarter, and we're providing a breakdown of those on the next two slides. So as a result of the closing of the Musselwhite transaction, we recorded charges of $81 million, related to changes in the fair value of financial instruments, issued in connection with the acquisition. This includes the closing out of the go forward contracts, which we have now replaced by the gold prepay, the warrants and the redemption right issued in conjunction, with the convertible notes, and a contingent payment portion of the Musselwhite purchase price. So although the gold prepay, is considered more of a financing item, because it's treated as deferred revenue, and not a financial instrument, it will now flow through cash flow from operating activities. Therefore, as we continue to deliver gold ounces against the prepay obligation, we'll draw down deferred revenue on the balance sheet, and we'll recognize that revenue on the income statement. But since we won't be receiving cash for those ounces delivered, it will reduce our cash flow from operating activities accordingly. The contingent consideration associated with the purchase price of Musselwhite, is recorded as a liability that is re-estimated every quarter. And since the contingent consideration is linked to gold price, as the gold price increases, the probability of payment also increases, and therefore, our financial liability increases as well. This is mark-to-market each quarter based mainly on gold price performance. Also note that this liability, is capped at $40 million, of which we have recognized $28 million to-date. And the last item to mention, is the impact of the warrants we issued in conjunction with the convertible notes. As the warrants are denominated in Canadian dollars, and AutoCanada is a U.S. functional currency entity, the warrants are treated as a financial instrument and therefore, mark-to-market each quarter. And with the recent share price performance, this has created an increase in the liability of that financial instrument. That treatment will remain in place until the earlier, of the exercise of those warrants, or their expiry. So we've added some more details on each item in the table on the next slide for added clarity, but we are available to discuss the accounting mechanics, of these adjustments in more detail at any time, so please do not hesitate to reach out to us. Following the closing of the acquisition of Musselwhite, the company's current outstanding debt balance is $450 million with net debt of approximately $266 million. Our cash balance at the end of the first quarter was $184 million. We intend to use our strong cash generation from our two operations now, to delever in the near term, while we also prepared to fund the construction of our South Railroad Project and a robust exploration program, which our Senior Vice President, Exploration, Sylvain Guerard, will now provide you with an update.
Sylvain Guerard: Thanks, Etienne. During the first quarter in Mexico, the company began to - the infill drill program at Zone 22, the extension of the Camino Rojo sulfide. The 15,000 liter drill program is progressing well, and is on track for completion in the third quarter of 2025. The results from the current drill program will build on the initial Zone 22 resource estimate, which is expected to be included as part of the upcoming Camino Rojo underground mineral resource scheduled in the second quarter of 2025. The drilling campaign to test the Camino Rojo original targets began at mid-April. In Nevada, Orla's 2025 exploration program for South Carlin Complex is focused on increasing near-deposit oxide resources at Pinion and Dark Star, advancing satellite deposits, and discovering new zones of oxide mineralization. Drilling initiated in the first quarter, was paused due to weather condition, but is expected to resume in May. A reserve and resource update for the South Carlin project is underway, with completion plan for mid-2025. In Canada, we have committed $25 million towards exploration at Musselwhite. The goal is to define a critical mass of additional normalization to support future expansion of the operation, and significantly extend the mine life well beyond 2030. Historical drilling located one kilometer from the current resource area in the mine trend, and perfected strong monetization, supporting the downed launch continuity, and highlighting the potential for a one to two-kilometer extension. Underground drilling of Musselwhite began in early March, immediately following completion of the acquisition. Surface drill programs targeting the down-plunge extension of the Mine Trend, and key near-mine target areas, are scheduled to commence in Q2, and continue through year-end. Silvana Costa, our Chief Sustainability Officer, will now provide an update.
Silvana Costa: Thank you, Sylvain. In regards to ESG disclosures in this quarter, we have completed Orla's second modern delivery report in alignment with the fighting against forced labor, and child labor and Supply Chain Act, which came into force in Canada last year. The Act requires companies, to report on their efforts to combat forest and child labor in their operations and supply chains. Our 2024 report will be mailed to shareholders on May 16, and provide updates on our work to enhance modern slavery training, across the company and strengthening the process of assets to assess risk of modern delivery in our supply chain. We are also actively working on the 2024 Orla sustainability report, and are on track to publish the report by the end of summer. During the first quarter, we continued our community engagement, and strategic investment initiatives at Camino Rojo and South Railroad while maintaining a focus on environmental performance and fulfilling our social commitments. With the closing of the acquisition of Musselwhite, we hosted our first community event in Thunder Bay to introduce Orla to community and indigenous partners and continue to build relationships that are critical to our collective success. For context, the Musselwhite Mine is located on the traditional territory of North Caribou Lake First Nation, and it was one of the first mines in Canada to enter into comprehensive agreements with First Nation's communities. These agreements focus on respectful and trust-based relationships for mutual benefit, and include areas such as employment and training, environmental and cultural heritage protection, and business opportunities. On the people front, in the first quarter, we continue to prioritize a smooth transition for the Musselwhite Mine in welcoming new team members. With that, I will get this call back to Jason.
Jason Simpson: Thanks, Silvana. To recap, in the first quarter, Orla closed the acquisition of Musselwhite, and integration of the operation into our business is progressing well. We are pleased to show a record quarter, with only one month of Musselwhite production contribution. The updated guidance to-date reiterates how Musselwhite will more than double our production. We see further mine life potential at this operation, which is why we have launched an aggressive exploration program at the property, to define additional reserves and resources, to support mine life extension and potential expansion of the operation. Looking forward, we have several upcoming catalysts for Orla including, the initial underground resource for Camino Rojo this quarter, which will form the basis for future studies. Integration updates for Musselwhite with initial exploration results, expected in the back half of the year, permitting milestones in both Mexico and Nevada. A resource update for the South Carlin complex, as well as construction planning information for our South Railroad project. We continue to execute on our proven strategy, to generate value - to the benefit of all of our stakeholders. Thank you to our teams in the countries where we operate, now including our Northern Canadian team whose commitment, and delivery are driving this business forward. Here is a recent photo with the Musselwhite team, with one of the new scoops delivered immediately upon closing. And at this point, I'd like to open the call to questions and pass it back to the operator.
Operator: [Operator Instructions] Our first question will come from the line of Andrew Mikitchook with BMO Capital Markets. Please go ahead.
Andrew Mikitchook: Okay. Thanks for taking us through the detail of the closing, and all the adjustments in there. I did have a question about the CapEx, sorry the sustaining and non-sustaining CapEx guided here for Musselwhite at $90 million and $18 million. What portion of that is comparable to the 43-101 mine plan capital costs that were published, which I believe were $57 million for 2025, if I'm correct?
Jason Simpson: Yes. Andrew, I'll start and then certainly, Andrew Cormier and Etienne, can build on my response. The context I'd like to set is the technical report reflected reserves only mine it out scenario. And the guidance that we provided today includes increased investment above that technical report, specifically in areas of lateral development, an enhanced mobile fleet, the exploration, which we previously communicated as well as some transaction costs. So this really does represent an improvement to that reserve only technical report, and investment over the next two years, we'll be making towards extending mine life and potentially expanding the production profile at that asset. Any further?
Andrew Mikitchook: Sorry, are there additional comments from Etienne or is that what we should work with...?
Jason Simpson: Maybe we'll pass it back to you, Andrew. If there are specifics - that we want to get into, please ask a follow-up question. And otherwise, we're happy to walk you through the breakdown between capital and expense amounts indicated in the material and presentation today at your availability.
Andrew Mikitchook: I think that's it on Musselwhite. I think I'll sign off there. And if there's any follow-up questions, I will reach out. Thank you for letting me speak.
Jason Simpson: Perfect. Thanks Andrew.
Operator: [Operator Instructions] Our next question will come from the line of Allison Carson with Desjardins. Please go ahead.
Allison Carson: Good morning, and thanks so much for taking my questions today. I was wondering in terms of exploration, obviously, mine life extension is a priority at Musselwhite. And I was wondering, if we can expect sort of a similar-sized program next year, or if this one was larger, just sort of to kick things off?
Jason Simpson: Thanks, Allison. Obviously, we're not providing guidance for next year, but the signal I can give, is we should expect a similar size exploration program next year. Our exploration teams will need to use the information collected this year, to define our program for next year. But holistically, I can offer the objective of the team is a 24-month objective. And so, we've directed the team over the next 24 months, to do sufficient drilling underground, to extend mine life and sufficient drilling from surface, to give us a broad understanding of the overall geologic complex. So that 24-month program, can set up conversations in year three of our ownership, not only with clarity on mine life extension, but then potential capital investment in expanding the operation. So to answer your question quite directly, at this point, I would expect spending on exploration Canada, to be similar next year to this year. But clearly, we'll need to let the results of this year, to find the program next year.
Allison Carson: Great. Thanks. And then just one on Camino Rojo. So I was wondering if you could give us sort of any color on, what you're hearing about permitting in Mexico. It's been fairly quiet lately. And have you heard about any new recent permits being given out? And is there any concern that, you don't see your permit come through this year?
Jason Simpson: Yes. We don't have concern, because we are hearing things, and that's based upon active conversations at both the state and federal level. So at a variety of levels of our organization, we are communicating with the regulators and bureaucrats in Mexico, and everything indicates that we should expect our permits on schedule. Just a reminder to all the listeners. I know you're aware, Allison, we submitted on November 11 of last year. And so, our expectations on the schedule, are about in the next couple of months, we should hear a resolution on our application for expansion. And all of the conversations at various levels would indicate that we're on schedule to deliver that.
Allison Carson: That's great. Thank you so much for the color. And that's all for me today.
Operator: And that will conclude our question-and-answer session. I will now turn the call back over to Jason Simpson for any closing remarks.
Jason Simpson: Since there are no further questions, I would like to thank all of you for your time. Never hesitate to reach out to Orla, should you have follow-up questions. Thank you.
Operator: That will conclude today's call. Thank you all for joining. You may now disconnect.